Operator: Good day, and welcome to the IDT Corporation's Third Quarter Fiscal 2014 Earnings Conference Call. During management prepared remarks, all participants will be in a listen only mode. (Operator Instructions). After today's presentation, by IDT's management, there will be an opportunity to ask questions. (Operator Instructions).In today’s presentation, IDT’s Chief Executive Officer, Shmuel Jonas, will discuss IDT's financial and operational results for the 3-month period ended April 30, 2014. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT filings periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make, or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation, or in the Q&A, the IDT's management may make reference to non-GAAP measures, adjusted EBITDA, non-GAAP net income and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website, www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. Finally, please note this event is being recorded. I would now like to turn the conference over to IDT's Chief Operating Officer, Shmuel Jonas. Mr. Jonas, the floor is yours, Sir.
Shmuel Jonas : Thank you operator. My remarks today will focus on key operational results and include some commentary on our business strategy and outlook. For more comprehensive and detailed picture of our financial results, please read our earnings release and Form 10-Q filing. Following my remarks, Marcelo Fischer, our Senior Vice President of finance and IDT Telecom Chief Financial Officer will join me and we’ll take your questions including those regarding the details of our operational results. IDT has delivered a very good quarter including another year-old-year revenue gain and a very solid adjusted EBITDA, and bottom-line earnings growth. I’m particularly pleased by the continued strength of our flagship Boss Revolution Service, and by the financial performance and cash generation of Fabrix, our cloud-based storage and computing platform optimized for media and big data processing, and by our continued fiscal discipline. Year-over-year consolidated revenue increased 1.7% to $403.8 million. This was the 16th quarter out of the last 17 that we delivered a year-over-year revenue increased. The growth was led by Boss Revolution PIN-less, which increased a solid 18.3% year-over-year and 3.3% sequentially. The sequential increase is notable because the third quarter is typically the weakest of our fiscal year with three fewer days in the second quarter and no major holidays to spur traffic. Revenue in our retail communication vertical, of which Boss PIN-less is the largest component, increased 4.3% year-over-year and 1.6% sequentially to $172.5 million. Also at IDT Telecom, we’re continuing our soft launch of Boss Revolutions international money transfer service. Early results suggest that the Boss Revolutions brand is sufficiently powerful and well regarded to attract customers in this field. Though the business is still embryonic and has a way to go before it will be meaningful contribute to IDT Telecom’s financial results. We have also made excellent progress building out the businesses disbursement network in Latin America as we continue to execute, this business has the potential to become a meaningful contributor to our bottom line performance. And another exciting new development for our telecom business; during the quarter, we acquired the assets of HDmessaging, an over the top provider of white-label messaging and texting services based at the U.S. and Finland. Although the purchase price was not material to IDT, HDmessaging technology could very well become important assets to both our retail and wholesale businesses over the long run. HDmessaging now labeled IDT Messaging also provides contextually relevant content with its messaging, acting as a proactive search solution and provider sponsored content thus offering our customers a highly popular and engaging new service with the potential path to revenue monetization. Wholesale revenue increased to slight eight tenths of 1% year-over-year to $160.6 million and decreased 4.3% sequentially. Overall revenue for our TPS segment was $396.4 million or 1.4% increase year-over-year and nine tenths of 1% decline sequentially. In our all other segment we continued to benefit from strong revenue growth and cash generation by Fabrix. Fabrix has found increasing traction in the marketplace and now has 10 plants in North America and Europe for its deep storage and remote DVR solutions. All Other’s revenue which is generated primarily by Fabrix with a modest contribution from our real-estate holdings was $4.9 million, the highest level in its history an hefty increase compared to $3 million in the year ago quarter and $3.7 million in the prior quarter. Cash collections by Fabrix from the sale of software licenses and support services was also very strong this quarter, totaling $5.4 million. Fabrix technology team continues to develop new market leading features and give world class support. Their solutions are wining marketplace acceptance and we’re looking to Fabrix to deliver additional sales and revenue growth in the coming quarters. Last quarter we said that we were pursuing a spin off to our shareholders of Zedge, our popular online platform including apps for sharing mobile device personalization content. Based on what we have learned through the process and in the phase of slower growth in Zedge’s revenue than we anticipated, we have decided to postpone the spin-off as well as pursuit of other strategic options. Zedge has promising new features and products in development that may substantially accelerate user and revenue growth and we prefer to wait and see how these play out before renewing our active search for a value creative divestment. On a consolidated basis IDT’s adjusted EBITDA increased to $13.3 million compared to $10.1 million in the year ago quarter and $11.3 million in the prior quarter. This was IDT’s ninth consecutive quarter of year-over-year adjusted EBITDA increases. In addition to an increasing contribution from Fabrix, we have been able to improve over time the gross margin of Boss Revolution PIN-less, and we have diligent about controlling SG&A expense. Corporate SG&A decreased to $3.3 million this quarter, the lowest since the first quarter of fiscal 2013. On a non-GAAP basis exclusive of tax adjusted depreciation and amortization expenses, non-cash compensation and other gains and losses, EPS this quarter was $0.37 compared to $0.33 in the year ago quarter and $0.28 in the prior quarter. With this quarter’s results behind us and our positive outlook in mind IDT’s Board of Directors has declared a dividend of $0.17 for the third quarter. The dividend will be paid on or about June 27, to stock holders of record as of the close of business on June 28. That concludes my remarks. And now Marcelo and I would be happy to take your questions. Operator, back to you for the Q&A.
Operator: Thank you, sir. We will now being the questions and answer session. (Operator Instructions) The first question we have comes from Jay Srivatsa of Chardan Capital Markets. Please go ahead.
Jay Srivatsa - Chardan Capital Markets: Thanks for taking my question. Congratulations on the good quarter, Shmuel and Marcelo. Couple of questions from me. Last quarter, Shmuel, you were a little bit cautious on the Boss Revolution growth, but looks like it's been tracking pretty nicely during the quarter. Can you give us a little bit of color on what changed or what contributed to the sequential growth?
Shmuel Jonas: I think that our team has dons a really good job executing in the field. I think that’s really what it comes down to. I think that some of the, what we call it, reputation I have in general is still warranted but they have done a really excellent job executing it and continue to do so.
Jay Srivatsa - Chardan Capital Markets: All right. Then in terms of the acquisition, the HDmessaging part of it, do you see that as a separate service or do you see that layering on top of Boss Revolution or any types of business helps us understand how that fits into the puzzle?
Shmuel Jonas: It’s a combination of factors. I would that our next iteration of our app is going to have messaging included in it as well as our white label products for other carriers. There is also some pieces of their service specifically what we call MagicWords that are separate pieces and their messaging piece of the businesses also sold as a separate service to carrier as well. So, it’s sort of a combination there. I don’t think it has a not specifically for money transfer or specifically for pin less. We think that is good overall.
Jay Srivatsa - Chardan Capital Markets: Okay. And then in terms of Zedge, it looks like the revenues are running right around $1.5 million a quarter, give or take. What type of revenue run rate are you looking for before you proceed with the spin-off?
Shmuel Jonas: That’s a good question. We have been budgeted for over $10 million for the year and unfortunately it hasn’t quite hit that, but I had seen some of the products that will become add up there and we’re quite hopeful that we’ll get there soon.
Jay Srivatsa - Chardan Capital Markets: And then, last question from me, I know you don't provide guidance, but Q4 tends to be a relatively stronger quarter sequentially compared to Q3. Given the strength in Q3, what are your expectations for Q4?
Shmuel Jonas: I expect the same thing that you do. I also expect stronger results as it’s typical we call, but I’ll let Marcelo.
Marcelo Fischer: Hi, Jay. We believe Q4 will be better than Q3 for the reasons that you had mentioned i.e. the fact Q4 back to the 92 days run rate. We believe the Boss Evolution will continue to grow year-over-year in the upper teens, also revenues as always something that’s hard to guess, but so for far based on how the month of May came about, we think that there we’ll perform on the steady base and also I think that will definitely have repeat of Q2 revenues in Q4, hopefully a little more than that.
Jay Srivatsa - Chardan Capital Markets: Thank you. Nice work.
Operator: (Operator Instructions) And the next question we have comes from John Rolfe of Argand Capital.
John Rolfe - Argand Capital: Good afternoon or good evening. I was hoping you guys could just maybe give a little bit more color in terms of some of the milestones that passed during the quarter in payment remittance. I know last quarter, you were beta testing in Florida and New Jersey and you expected to go live in Texas and Illinois. Can you let us know if that happened, what markets might be next? You had also talked previously about developing a virtual Visa product, and as well, a card with some checking account-like functionality. Are all those still things that are on the table? Have you made progress on any of them? And just broadly or roughly speaking, what sort of ramp would you hope to see for this business, over what time frame would you hope to get it scaled up to the point where it really could be a meaningful contributor to the bottom line? Thanks.
Shmuel Jonas: Okay. I’ll try to answer all those questions, if I forget one, you’re welcome to continue to question. We’ve done probably enabled with us 15,000 transaction so far this year. I believe a little more. And we -- again, I mean considering we’re doing millions and millions of transaction in Pin-less and IMTU, it’s an very, very small number, but we’ve really done them without many hitches and it is a completely new business to us. And again we could grow it exponentially are ready. But we’re really choosing to make sure that we have over, we call the king side of the system before we really put it into super charge. That’s my answer on money remittance. As far as some of the other products you mentioned such as virtual visa and our GPR products. The main thing that we’re waiting for is, is something that we call aggregation and that has to do with government requirements that you basically are able to track every type of transaction somebody does. And make sure you know who is doing it, and that they don’t go over any combined limits. And that should be ready in about September time and that will then allow us to launch virtual visa and GPR throughout the country.
John Rolfe - Argand Capital: Okay. Okay. Great. Just one follow-up then. In terms of payment remittance, based on the run rates you're seeing there in terms of transactions you're actually processing and the fact that you said you're continuing to be cautious until you're confident that the kinks are worked out, at what point could we see that growth really start to kick in there? A couple of quarters out or how does -- what does the runway look like there in terms of assuming things continue to go well there on the processing side, when could we really see that begin to be a contributor?
Shmuel Jonas: I guess, we think that it’s a couple of quarters out before becomes really meaningful. A lot of it has to do with a number of agents that we bring on, I mean we have brought on some extremely successful agents, that really thinks a normal and if we can have, a 100 like them in every state would be a real, real player in the market. But I would say that again, it still has like meaningful impact on our bottom line, you’re talking more than a year out I would say if are we two to three year still. But before you really start to see it in our numbers, I would say is probably two to three quarters out.
John Rolfe - Argand Capital: Okay. Great. Thanks very much.
Operator: Next we have Matthew Greenblatt of Leerink Investment Partners. Please go ahead.
Matthew Greenblatt - Leerink Investment Partners: I was just wondering if you could expand a little more on some of the initiatives related to Zedge that you think will help growth accelerate going forward and get you closer to the run rate numbers you're looking for?
Shmuel Jonas: Sure, we have a couple of new product lines at there, they are adding on both from Emoji’s as well as app icons and we’re also launching basically a new part to Zedge that we call Zedge X, which is going to be a centralized place where you go no matter which over the top or native messaging app you’re using to store your content and we believe that those two pieces combined are going to lead to them hitting their numbers.
Operator: The next question we have comes from Wayne Brown, investor.
Wayne Brown - Private Investor: Good evening, gentlemen. I had a question regarding the Fabrix business. How would you characterize the market potential of what that business is going after and characterize the lumpiness, so to speak, of the income in that business currently? Do you have a budgeted number for this year?
Shmuel Jonas: We do not have a budgeted number for fabrics for next year. But that’s the first thing, I actually, I don’t really know the answer to that question, you know I think is, we discussed in previous quarters and we have clients that have done over $25 million with us, going on in terms in bookings we’ll call it in total. You know in North America you know the, it’s probably $500 million a year business you know give or take, but I really, I don’t know the answer to that question.
Wayne Brown - investor: One quick follow-up, if I may. I'm just looking at obviously the trepidation, for lack of a better term, on Management not participating in any more buybacks. Is there a perspective on the lack of using any more of the capital that you have on-hand for the remaining 5 million shares?
Shmuel Jonas: On there’s not s trepidation per se, I mean you know we definitely you know do talk about purchasing more shares back we always wish we purchased more shares a year ago, we were suddenly you know doubled or tripled or quadrupled the amount that we bought then. But the answer is, on what we would do more we would probably raise the dividend before we increased share buybacks at least in the short term
Wayne Brown - investor: Okay. Thank you.
Operator: At this time we have no further questions, we’ll go ahead and conclude our question and answer session. I would now like to turn the conference back over to management for any closing remarks.
Shmuel Jonas: We have no closing remarks, thank you very much for participating.
Operator: And we thank you sir for your time today, the conference call is now concluded, we thank you all for attending today’s presentation, at this time you may disconnect your lines. Thank you and have a great day everyone.